Operator: Good morning and welcome to TripAdvisor’s Second Quarter 2019 Earnings Conference Call. As a reminder, today’s conference is being recorded. At this time, I’d like to turn the conference call over to TripAdvisor’s Vice President of Investor Relations, Mr. Will Lyons. Please go ahead.
Will Lyons: Thanks, Howard. Good morning, everyone, and welcome to our call. Joining me today are our CEO, Steve Kaufer, and our CFO, Ernst Teunissen. Last night after market close, we distributed and filed our second quarter 2019 earnings release and we made available our prepared remarks on our Investor Relations website located at ir.tripadvisor.com. In the release, you will find reconciliations of non-GAAP financial measures to the most comparable GAAP financial measures discussed on this call. You’ll also find supplemental financial information, which includes certain non-GAAP financial measures discussed on this call as well as other performance metric. Before we begin, I’d like to remind you that this call may contain estimates and other forward-looking statements that represent management’s views as of today, August 8, 2019. TripAdvisor disclaims any obligation to update these statements to reflect future events or circumstances. Please refer to our earnings release as well as our filings with the SEC for information concerning factors that could cause actual results to differ materially from these forward-looking statements. Now, here is Steve, who’ll share a few thoughts before we open the call up to your questions.
Steve Kaufer: Thank you, Will, and good morning, everyone. To summarize, our prepared remarks from last night in the second quarter and first half of 2019, we drove strong consolidated profit growth grew Hotels, Media & Platform segment profit and expanded profit margins and delivered rapid Experiences & Dining segment growth in bookings, supply and revenue. First half results keep us on track to deliver double-digit consolidated adjusted EBITDA growth this year, and we're pleased with our 2019 progress towards our revenue growth objectives. TripAdvisor remains the world's largest travel community. We have a powerful global offering built on people-powered information in a trusted brand. We help consumers discover explore and experience the world in unique and compelling ways. This year, we are operating with enhanced customer focus and we are executing well on a number of initiatives to deepen our customer engagement, grow and serve our members, and deliver travelers a more holistic and seamless travel experience. We're also laying the foundation for a world-class media business to enable partners to capture more value on our platform, which can enable us to further monetize our significant travel influence. We'll now open-up the call for questions.
Operator: [Operator Instructions] Our first question or comment comes from the line of Deepak Mathivanan from Barclays. Your line is open.
Deepak Mathivanan: Hey, guys. Thanks for taking the questions. So, first, can you talk about the media – the strategy behind the media efforts at a little bit more in detail? The content particularly on the feed is improving steadily and we look at that very closely. And we also noticed that, you're launching some new ad units recently. Although it's still in early days, what should we expect to see both in terms of product and also in terms of monetization efforts over the next few quarters that makes this a more sizable business in the next few say – next few years?
Steve Kaufer: Sure. Thanks for the question. This is Steve. We first kind of want to remember more than 400 million unique users, and they're almost all on our site looking for place to go, looking for a place to stay, looking for a thing to do, a place to eat. That's an incredible amount of influence across the travel ecosystem. And as you know, we've monetized through a couple of different vehicles so far in our history, but we really don't feel we've tapped into the opportunity to better understand who these folks are so that we can segment them and offer visibility to these users across all of our endemic clients as well as non-endemic clients. So you've noticed a couple of different ad units. That's great. You'll see more custom pieces throughout the site. You'll see more native integrated pieces. The feed will be part of that, but I wouldn't say it would be -- I wouldn't guess as we implement new products I wouldn't guess that it would be the majority of the new pieces. We're going where we find consumers are at a decision point. Where can we inspire them or where can we help our clients inspire them to go to that location? And then how can we help select the right hotel the right thing to do for them? All that comes down to new video units, better programmatic capabilities or our clients can buy easier on our platform, more ad units across all of our devices and in general a better targeting ad text stack that we're already in the process of assembling. So this is new people, relatively new effort. I should say we have a very nice display and media business but it's a nice opportunity for us to dramatically grow that using latest technology where we haven't invested as much before. Compared to some of our peers with our audience size, we see it relatively – we see what we believe to be a fantastic opportunity for doubling this part of our business in the next three to five years.
Deepak Mathivanan: Great. Thanks, Steve. And then Ernst was the 2Q revenue trends in the HM&P segment a surprise to you at all? How are you thinking about it? And then looking at it in terms of back half as well, so you're calling out returning to growth in 4Q. Is that primarily from comping through some of the marketing expenses, or is there any other puts and takes that’s going on in there as well? Thank you.
Ernst Teunissen: Hey Deepak. The profit growth trend in HM&P was not a surprise to us. We continue to benefit from the optimizations that we've done around our marketing expenses. We saw continued aggressive profit improvement. First half now, we have a total of 31% EBITDA growth in our HM&P segment and Q2 was very close to the 30% mark. So that was very pleasing and very strong for us. On the revenue side, we had said that we would continue to see some weakness in the overall revenue line as a result of the marketing pullback. This quarter we additionally saw some increased SEO trends as well that we focused on. But if you look ahead for the rest of the year, in Q4 we are seeing the segment go back to growth. Into Q1 for next year, we have fully lapped all the marketing -- the reset that we have done. We will be in a position to start growing our eight marketing channels again and we're forecasting to return to growth on the HM&P segment in that year. Display is an additional growth driver for the back half. So, it's not just comping the paid marketing spend. The display initiatives that Steve was just talking about will start to kick-in some extra contribution to our revenue growth as well towards the end of the year for our expectation.
Deepak Mathivanan: Okay. Thanks Ernst.
Operator: Thank you. Our next question or comment comes from the line of Lloyd Walmsley from Deutsche Bank. Your line is open.
Lloyd Walmsley: Thanks, guys. Two questions, if I can. First, can you just talk about the comments in the letter on E&D segment growth tapering? And what might be driving that? And where are you in terms of bookings through core TripAdvisor versus Viator? Is some of the impact competitive or are you kind of done making TripAdvisor kind of fully bookable? And then second one just when you talk about slower demand is that on the consumer side in terms of hotel shoppers or the advertiser side or both? Any comment you can share on trends in pricing options will be great.
Ernst Teunissen: Yes. Hi Lloyd, thank you. First of all growth for the segment E&D in the second quarter was strong. It was 28%, but excluding the impact of currency was 33%. The product supply and marketing initiatives that we're driving are progressing very nicely, pleased with that. We're making a lot of investments this year that may not necessarily impact the revenue growth this year, but is setting us up for longer term growth on the platform. And as you know a huge market opportunity across both restaurant and experiences that is very untapped, 80% offline on the Experiences side. There's a couple of things this year in the revenue trends that we called out before is one is currency. Obviously, it's making an impact this half, but also in the next half. We've called out before that -- we're comping some very high growth in our -- with new restaurant products and restaurant media products that we built last year and we're comping against that particularly in the back half of the year that was a major factor last year. But also we have pretty explosive growth on the TA platform for Experiences last year which we're comping into as well. So, if you dial back from all of that we -- we're making huge investments for the growth here -- for the future here and there's long-term sustainable growth that we're able to capture we believe. We're playing to win. Not everything is focused on optimizing revenue this year, but we see this as a long-term growth opportunity for TripAdvisor.
Steve Kaufer: And then, this is Steve. When you look at the actual what's going on, on TripAdvisor there is -- we think we're doing a much better job helping our travelers find the things that they really want to book in advance before they go. We feel there's a lot more headroom there. We're improving our -- what we call our trip functionality, so you can start building more of a trip together. That needs to include and will include abilities to book tours, those magical moments that are part of the vacation that trip has. Whether they be thinks sold on the platform or just the wonderful advice that you can get, it's really that full package that consider Trip that allows us to shine so well and Experiences is a vital part of that.
Ernst Teunissen: To your second question Lloyd about the hotel meta option, the trends that we're seeing are on the consumer side. So, on the supplier side, we've seen consistency in the bidding behavior of our partners. We've seen slower demand in paid marketing obviously because we're bidding less aggressively on those search terms, and we're getting fewer paid customers in. And on the SEO side, we made the comments that we saw some slowdown.
Lloyd Walmsley: All right. Thank you.
Operator: Thank you. Our next question or comment comes from the line of line of Mike Olson from Piper Jaffray. Your line is open.
Mike Olson: Good morning. Other than the space continue to talk more, more about getting more aggressive in the activities and Experiences segment, just wondering if you're seeing any evidence and more competition in that category, or not really at this point? And then, also in Experiences & Dining I realized you're pushing for long-term growth with continued investment in the segment. I believe you've said in the past that you think the segment can have a margin profile that's more similar to HM&P. Do you still believe that's the case, or is there anything structural that would make that more challenging? Thanks.
Steve Kaufer: Hi, Mike. Thanks for the question. This is Steve. The focus – the way we look at the overall experiences market is that, it's really in the beginning. The demand is huge. This is a huge new category coming online. We got in really early. We have a number of other players that are also in the space. But the vast, vast majority of everything going on is still offline, offline in the pre-trip phase, offline in the destination as in someone walks up and buy something. We truly believe, all of that or a huge portion of that will migrate online and some of it will migrate online to our app others for pre-purchase or pre-trip activities. We're doing our best to invest in all the different areas we need in order to capture more than our fair share of the marketplace. We fully expect all of our competitors to be on the same game plan and the beauty is there's plenty of opportunity for there would be multiple winners in this category. We think our phenomenal traffic advantage gives us a great opportunity to do extremely well so between traffic, between supply, between the frictionless booking platform we have now it all works. To your second question on margin profile for the business, we're not going to be too specific, but we do believe that the margins in this category do end up looking like hotel margins have evolved to. And so we feel it's a very natural opportunity for our marketplace to consolidate the supply. And we already have a huge portion of the demand and that makes for a great business with the ton of network effects.
Mike Olson: Thank you.
Operator: Thank you. Our next question or comment comes from the line of Naved Khan from SunTrust. Your line is open.
Naved Khan: Yeah. Thanks a lot. Another couple of questions, maybe on the hotel side, as you talked about the SEO headwinds, is that – are the SEO headwinds just limited on the hotel side, or is that something you're also seeing on Experiences? Can you just clarify that for us? And then just based on the commentary it just seems like, if I look at the Hotel's sub-segment you're going to comp the advertising cuts in Q1 of 2020. So this is that – when we should expect that sentiment to kind of stabilize or maybe even start seeing positive? What's the right way to think about that?
Steve Kaufer: Sure. Thanks, Naved. This is Steve. I'll take the first SEO related question and let's start with the context, and of course we gain a lot of the SEO traffic for all of our business units and it's a great way for travelers to discover TripAdvisor and in everything we do. There is an effect of Google and other search engines moving more and more into the travel space and that's a bit of a hotel headwind we called out. Of course it hits all of our business units, but we continue to look at the overall positive of how this traffic finds us, how we're able to educate them on TripAdvisor. And then at some point if you want we can go into the rest of the initiatives that we're doing to otherwise drive long-term loyal behavior of our customer base.
Ernst Teunissen: To your point -- to your second question Naved, HM&P and growth in the future, yeah, this year 2019 is obviously a profit focused year. We've been talking about the significant profits we've been driving. We have progressively throughout 2018 made improvements in our performance marketing. We're now in Q1 and Q2 flat on our returns there. We're happy on our returns. We're lapping into some benefit but it's a diminishing benefit and it should start helping revenue and our ability to start acquiring paid marketing again and grow that line. So in Q1 of 2020, we'll have fully lap that and we will be in a position to start focusing on growth in our paid marketing channels again. So we've called out -- in Q4 we are anticipating to go to growth for the segment and into 2020 we're expecting growth from that segment.
Naved Khan: Okay. Just a quick clarification on that. I think on the last earnings call, you spoke about some weakness in auctions for the month of April. It seems like that might have been more advertiser driven. Can you just give us more color on how the quarter evolved and if that persisted, or what are you seeing on your end? It seems like based on the results out of the two large OTAs, their own businesses seems to be seeing room rates at least room rates growth in the double digits. So what are you seeing on year end and have those trends improved since April?
Ernst Teunissen: Yeah, Naved. What we called out is not from our perspective an advertiser driven event. It is more about the demand side, on the one hand us pulling back on marketing and increasing efficiency there, which has been an impact and wasn't impacting Q2, plus the SEO challenges that Steve just talked about. And so we are going to lap through a lot of those changes throughout the rest of the year. And as I just responded, we see us return to growth for the segment by the end of the year.
Naved Khan: Thank you.
Operator: Thank you. Our next question or comment comes from the line of line of Mark Mahaney of RBC Capital Markets. Your line is open.
Unidentified Analyst: Great. Thank you. A few questions. One, could you please talk about demand trends? You mentioned in the letter that they were softer than anticipated demand trends. A little bit more comment on that will be great? Second, on your membership and loyal customer base. So that is very interesting. You shared some metrics around frequency as well as the ability to generate more revenue than an average user. Could you talk about what you're doing in order to get more members, in order to keep them more engaged and some of the initiatives that you have taken and may take for the rest of the year? And then finally on EBITDA thank you for sharing the -- giving some color on double-digit growth rate as well as acceleration in Q4 over Q3 and then back half growth being less than 15%. But could you talk about how you're thinking on investing in the Experiences segment, how we should think about EBITDA in the back half of that segment as you invest? Thank you.
Steve Kaufer: Sure. This is Steve. Thanks for the question. When we look at membership, we look at the ability to sign somebody up, have them use our app, have them invest a bit in the platform that might already in review. It might be saving a couple of things to a trip that they want to take. We then take that information, customize our CRM and our push notifications to make it highly relevant to what the customer is looking for and then encourage them to return to the site to either finish the booking process they were in the middle of or explore another adjacent activity. You can imagine when there's someone starting on a flight or a hotel, it's a great opportunity to add a thing to do an attraction, a private tour. There's wonderful upsell opportunities that we'll have going down the road. Job one for us that we've been working on is making sure the messages that we're sending to people are highly relevant. We want to make sure that when they come to the site, we know more about them than just their name and IP address, so that we can give rate recommendations. That all drives a wonderful value proposition for members and you combine that with our activity of soliciting membership more and you can -- what we're happy to share is we've seen the past four quarters have been consecutive growth in our membership numbers, the growth -- the year-on-year growth of how many new members we add each quarter and we're on -- for the rest of the year. That's just one indication of how we get from the 400 million a monthly use to a more meaningful set of members who are coming back using us or letting us help them in all of their trips. That's also one aspect of how the demand question gets framed a year from now because we'll have a much more direct relationship with so many more members going forward.
Ernst Teunissen: To your second question about the Experiences & Dining EBITDA trends, this is obviously a year in which we're making investments for the future. This is a year in which EBITDA in this segment is coming down year-over-year fortunately funded by significant EBITDA improvements on the hotel side. We said before and we maintain that although EBITDA will be lower for the segment, we forecast to be positive for the year in the segment. And so you're going into the second quarter expect additional -- to see additional investment in this segment.
Unidentified Analyst: Thank you, Steve and Ernst. And then on demand trends that will be great and that's it for me. Thanks.
Steve Kaufer: Look we already covered some of the demand trends. And then I talked about how membership -- I didn't talk much about app download, but that will be another aspect that we're working on. We have seen some nice results in order to move this demand to be more in our control. If you're referring to, kind of, overall travel demand in the industry, it's -- we see a number of different kind of signals out there, when we look – when we listen to other companies' comments. There's a little confusion out there but we're seeing a reasonably good travel environment at the moment. So in our prepared remarks, we're not commenting or we're not calling out anything particularly unique in travel that's causing a big plus or a big minus for us. So we're happy with the overall environment and we're executing and putting we think well on our journey. 
Unidentified Analyst: Okay. That's helpful. Thank you, Steve.
Operator: Thank you. Our next question or comment comes from the line of Justin Patterson from Raymond James. Your line is open.
Justin Patterson: Great. Thank you. I wanted to go back to the ad platform opportunity. How should we think through the investment ramp and ad tech infrastructure and the sales force as you build out this new initiative? And another big picture one, if I can. I want to play devil's advocate for a second. I agree you're under indexed on media revenue versus peers. However, it's also true that you're more vertical-focused focused on travel whereas a lot of those peers it's either more horizontal in nature, curious to hear how you think about that and how you think through potential ceilings on monetization? Thanks.
Steve Kaufer: Sure. Thanks, Justin. I love the question. So we're fortunate enough to have resources internally on the tech side that we were able to shift over. It includes some licensing and some buys not builds. But I wouldn't phrase it as a big multi-year lift to do this, because we already have $150 million-plus business built on a level of targeting and we just need to extend it make it easier for clients to buy programmatic and then build some additional ad units particularly video, fast-growing area, where we just don't have the product offering. So, I would say, small tech lift there. On the sales force side, we're already very global. Of course, we need to add some more folks as we reach into different sets of clients that haven't historically been advertising on our site, but love the demographic that we represent. So we're probably pretty well covered in endemic. We feel like there's a lot of opportunity outside of travel with audience targeting. As evidenced by the many other companies out there that do it pretty well. We are obviously pretty good at taking advantage of the vertical nature of our categories and we moved into that transaction as we go. But of all the people that go to TripAdvisor so many are purely in the research mode and they just are not ready to buy anything. That's a beautiful aspect of our site being a funnel for many others. So for the folks that aren't ready to buy, how do we monetize the ability to influence in one direction or another? And that's not a click off to an OTA. That's not a transaction of a private tour. That's a media opportunity to help educate a consumer on all the different stuff that they really should do. So we have a ton of influence in the category. We have a ton of traffic that is looking for something around their trip. And the more information, we can get about, who those folks are, the better we can do for overall general targeting. I hope that was helpful.
Justin Patterson: That was very helpful. Thank you, Steve.
Operator: Thank you. Our next question or comment comes from the line of Jed Kelly from Oppenheimer. Your line is open.
Jed Kelly: Great. Thanks for taking my question. Can you just speak on the new brand campaign, what the key message is going to be? And then can you provide any update on the amount you spent on television this quarter? And then one more if I can, any way you can give us some KPIs just around the membership opportunity in terms of percentage of MAUs or how many are converting to members?
Steve Kaufer: Thanks for the question. I'd say that I can't really share the details of the brand messaging in part, because it's evolving and in part we're not ready to launch at this point. But I can tell you it will be most likely be focused on aspects that are relatively unique to the TripAdvisor value proposition versus what the other set of travel players can provide. We have done a lot of research on our travelers, the awareness we have in different markets, and the irreplaceable value that we provide to so many travelers. So the brand campaign, we expect will highlight that delivered in unique and compelling ways across a wide variety of media.
Ernst Teunissen: In terms of the spend we spent $26 million on brand this quarter, which makes really the first half very comparable and spend almost the same as the year before. With all these changes that we're thinking about our brand advertising, it does not mean that we’re increasing our budgets for it. So it shouldn't be incremental spend now or even in the following year. We're doing this all within our existing budget.
Jed Kelly: And should we expect to see the new television commercials this quarter?
Steve Kaufer: No. You would -- that would be far too early. What we have going for next year is -- and I want to back up. I wouldn't phrase it as just the television effort because we really do believe that there's a host of different media opportunities available for us. And as the branding rolls out later in the year and the advertising begins probably closer to next year, maybe that will help set your expectations.
Jed Kelly: Thank you.
Operator: Thank you. Our next question or comment comes from the line of -- we have Lee Horowitz from Evercore ISI. Your line is open.
Lee Horowitz: Great. Thanks for taking the question. I just wanted to dig in a little bit on the SEO headwinds that you guys had called about. Obviously, Google has been moving more aggressively into travel products for a long time now. And I was wondering, what may be different in this quarter that warranted a headwind or impact on your business in a more meaningful way?
Steve Kaufer: Sure. So back up. We actually grew SEO traffic in 2018. That was -- I've mentioned many times, it is getting a lot harder due to Google pushing their own products. And by the way we think it's entirely appropriate for regulators to be looking into this practice, but frankly we're focused on what we can do about it. This past quarter they did a few things on the hotel front, which hurt a bit more than usual, but we've been working on a handful of initiatives, some of which we've already covered to counter that for a while. So as we pointed out in the prepared remarks, member growth, app usage, building a stronger direct relationship with the travelers, new branding campaign. These are the sorts of things that we look to drive that deep consumer relationship that while we love the Google traffic, while we love all search engine and all social traffic as well, we're looking -- we've been implementing and have more on the horizon initiatives that enable us to own the relationship in a tighter way.
Lee Horowitz: Great. Thanks for the time.
Operator: Thank you. Our next question or comment comes from the line of James Lee of Mizuho Securities. Your line is open.
James Lee: Yes, thanks for taking my questions. A couple of questions here. Just want to dig a little bit deeper about the trends in the second half here. Last quarter you mentioned for the hotel and media business you're expecting growth in the second half kind of implying third quarter will be growing. I wonder what has changed. Is it more due to maybe the external environment where you see demand overall for travel is weak, or is it more due to internal decision where you want to cut down marketing expenses as a result of revenues coming down? And secondly also on digital advertising I'm sure you guys know it's obviously a pretty competitive space. And I was wondering what new products are coming up that you feel confident that is differentiated and does the confident that you put in this product include the news feed product advertising we've been talking about over the last couple of quarters? And how should we think about the growth rate for the hotel and media business going to 2020? Thanks.
Ernst Teunissen: I'll start with the first part of the question. So, this year has been a year in which growth in our Hotels, Media & Platform business has been impacted by our decision to optimize the marketing expenditure and that has been a major impact on the growth rates as we've been calling out throughout as we believe those will start to abate by the end of the year and fully lapping in the first quarter. So, from that we're expecting improvement. We are seeing growth for the first time to return in that segment in the first quarter and then we're well set up for the period beyond. You want to take the second?
Steve Kaufer: Yes and so for the media growth opportunity as I've mentioned the new video ad units, better programmatic access to specific audience, us understanding our own data in conjunction with other data which I'll just call it more enhanced segmentation allowing advertisers to buy that specific audience that they want and some of this -- or I might argue, most of this is not actually rocket science. It's just an area that we have not invested in, in the past. And so with a new level of focus, we've already seen some modest results, already rolled out a couple of additional products. We mentioned there's some other ad products that are in beta now, be able to sponsor a location or sponsor the discovery of a location. And there are just a lot of both untapped media dialers in travel or endemic category and then a wide open opportunity. Of course, we have competition with that opportunity, but we have a ton of first party data unique to our massive audience at a global scale and that makes us a particularly nice compelling ad buy for quite a few folks looking for an extremely brand safe environment. 
James Lee: Great. Any commentary on growth rate for hotel and media business for 2020?
Ernst Teunissen: Sorry, can you repeat the question, sorry?
James Lee: Yeah. Any commentary on the revenue growth rate for the hotel and media business for 2020? 
Ernst Teunissen: Yeah. As we said, we are expecting to return to growth a little early to be more specific than that, we'll do that in the quarters to come. We obviously have highlighted the various puts and takes there, the return to a more level playing field around the marketing efficiencies, and as well as the ambition we have in the media space, which we believe we can at least double in the next three or five years.
James Lee: Okay. Thank you.
Operator: Thank you. Our next question or comment comes from the line of Kevin Kopelman from Cowen & Company. Your line is open.
Kevin Kopelman: Thanks a lot. I just had a follow-up on the HM&P revenue guide. So the second quarter was down, the revenue was down 4% ex currency. And it looks like you're expecting that to grow year-over-year in the fourth quarter. So in the interim, can you talk about how Q3 is looking for HM&P? Do you think it will – it will be better than Q2, or you see it – the full quarter of SEO headwinds making it similar or worse in Q2? Thanks.
Steve Kaufer: We're not putting too fine a point on it. Q3 will be still a quarter in which we'll have significantly lower marketing expense, which will be great for profitability, but it's still slowing the recovery of revenue growth. So Q3 will be another quarter in which we experience that. Really in Q4, we see a more meaningful start of the lap of the marketing performance and that's why we call out Q4 as the moment where the segment can come to growth.
Kevin Kopelman: Okay, great. That's helpful. And then – and on that Q4 the confidence there returning to growth is that really across the segment? And how much of it is driven by what you anticipate in the display side for the fourth quarter versus really the display and also the TripAdvisor rated hotels?
Steve Kaufer: Yeah. It's a combination of the increased lapping into the marketing performances that we will see, but also we have some exciting things in the works on the media side and we expect positive impact from that in Q3 and more in Q4.
Kevin Kopelman: Okay. Great. And just one other – just quick follow-up. I've talked about kind of the SEO headwinds. It sounds like start or maybe exacerbating kind of mid-quarter and second quarter. Have you ever seen SEO driven revenue down before or was 2019 would expect that to be the first year that would happen?
Steve Kaufer: We've seen our growth rates decelerate over the years. But I've kind of been talking about this for quite a while as Google continues to move into travel. The notion comes back to with this trend that's been going on for several years, how we take control of that customer – control is perhaps a bad word, how we help that customer and encourage the relationship so that they can continually come back to us? And with our growth in membership becomes as we mentioned in our published remarks the improved repeat rate, the improved monetization, and the improved loyalty to TripAdvisor. So we're particularly excited about the growth in our membership numbers. You should expect more from us in that store, and that helps address a number of the other concerns around the business.
Operator: Thank you. Our next question or comment comes from the line of Brent Thill from Jefferies. Your line is open.
Stan Velikov: Good morning. This is Stan for Brent. Thank you for taking my question. I was just wondering from what you know so far about your brand spend. Is it helping drive more incremental traffic to the platform, or it’s more shifting I think from paid to direct channels?
Steve Kaufer: Thanks for the question. It's hard for us to know that, because we're blessed with so much traffic in so many of our points-of-sale and our pure branding campaigns tend to be in our larger markets. It's a little hard to -- we know we are getting some additional audience, but the purpose of the campaign was really to drive different behavior of the people who already knew us. And so we've seen consistent improvement in conversion on our things to do section on TripAdvisor. Some of that is going to be the brand campaign. Some of that is going to be converted on the site, better implementations, better supply teasing out the differences are, but we know the brand campaigns have been helping the TripAdvisor point-of-sale.
Stan Velikov: I got it. And one more question. Can you give us some color on international trends? Any specific markets or regions to go out?
Ernst Teunissen: Nothing really to highlight at this point. We see pretty uniform trends across the globe at this point. We called out in the past that we saw some softness particularly in Europe that has started to converge. So we don't see a particular area and we see actually the upside from all the initiatives that we are currently deploying in all our markets across the world.
Stan Velikov: Great. Thank you very much.
Operator: Thank you. I'm showing no additional questions in the queue at this time. I'd like to turn the conference back over to CEO, Steve Kaufer for any closing remarks.
Steve Kaufer: Great. Well, thank you everyone for joining the call. In closing, I want to thank our global travel community because you make the TripAdvisor stay better every day and we will work tirelessly to deliver you great products to help you experience the world. I also want to thank our partners. We will continue to deliver offerings that enable you to drive your business. And finally I want to thank all of the TripAdvisor media group and employees around the world. We have a lot of exciting work ahead. And I look forward to updating everyone next quarter. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes the program. You may now disconnect. Everyone have a wonderful day.